Operator: Good morning, and welcome to the Pinnacle Financial Partners fourth quarter 2025 earnings call. All participants will be in a listen-only mode. Should you need assistance, signal a conference specialist by pressing 0. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then 1 on your tone phone. To withdraw your question, please press star then 2. Please note this event is being recorded. We'd like to limit this call to approximately one hour. I'll now turn the call over to Jennifer Demba, senior director, investor relations. Please go ahead.
Jennifer Demba: Thank you, and good morning. During today's call, we will reference the presentation and press release that are available within the Investor Relations section of our website pnfp.com. President and Chief Executive Officer Kevin Blair will discuss our newly combined company's future and outline our 2026 financial outlook. Chief Financial Officer, Jamie Gregory will review Pinnacle and Synovus' standalone fourth quarter 2025 results. Finally, Chairman Terry Turner will make some closing remarks. And then our team will be available to answer your questions. Our comments include forward-looking statements. These statements are subject to risks and uncertainties. And the actual results could vary materially. We list these factors that might cause results to differ materially in our press release and in our SEC filings, which are available on our website. We do not assume any obligation to update any forward-looking statements because of new information, early developments, otherwise. Except as may be required by law. During the call, we will reference non-GAAP financial measures related to the company's performance. You may see the reconciliation of these measures in the appendix to our presentation. And now, President and CEO Kevin Blair will open the call.
Kevin Blair: Thank you, Jennifer. Good morning, and welcome to our fourth quarter 2025 earnings call. As Pinnacle Financial Partners enters its next chapter, we do so with the belief that true success comes from staying grounded in who we are, inspired by where we're headed, and united by a relentless commitment to outperformance. As we do so, we reaffirm our commitment to the investment community with renewed energy clarity, and confidence in the path ahead. Pinnacle's focus is producing strong above-peer revenue earnings per share, and tangible book value growth. Our strategies and plans for execution are clear. Are committed to delivering exceptional client service and industry-leading loyalty as verified by external sources such as Crystal Coalition Greenwich, and J. D. Power. At the same time, we aim to be the employer of choice in regional by fostering a uniquely collaborative empowered, and rewarding culture. These priorities enable us to attract and retain revenue producers at an outsized pace, fueling our continued growth. By pursuing these goals with passion and purpose across the entire franchise, we strive to continue to create exceptional value for our shareholders, and set the standard for growth and profitability in the industry. Our strong performance in 2025 demonstrates the focus of our teams during more volatile economic times in the midst of a pending merger. Legacy Pinnacle grew adjusted diluted earnings per share by 22% in 2025, while Legacy Synovus grew adjusted diluted earnings per share by 28%. The commitment and focus of both firms on creating a differentiated client experience resulted in Legacy Pinnacle's number one Net Promoter Score ranking in its footprint and Legacy Synovus' number three Net Promoter Score ranking in its footprint amongst top market share banks. These results underscore that our team is fully engaged, focused on our clients, and delivering meaningful value for our shareholders. We are a competitive team committed to sustaining top quartile growth profitability. The merger between Pinnacle and Synovus was completed on January 1, just one hundred and sixty days after announcement, demonstrating the strengths of both companies and our resolve to swift and effective integration. Over the past two quarters, both organizations have successfully completed key milestones. These achievements highlight our strategic focus and reinforce a solid foundation for continued growth and operational excellence. The team has hit the ground running in January, already executing across all elements of the proven Pinnacle operating model. For example, the firm has brought legacy Synovus team members into the money morning sales and service meeting series, an anchor of the pinnacle operating rhythm, led by chief banking officer Rob McCabe. This long-standing practice helps teams align around core priorities promotes cross-team collaboration, and establishes shared ambitions and goals around growth hiring, pipeline activities, and service expectations. We are thoughtfully combining the strengths of Synovus and Pinnacle building on similar legacies and shared values, and remaining true to what really sets us apart. Pinnacle's exceptional operating model is our foundation and the engine of our growth guiding us through every opportunity and challenge. We're not just building another big bank, We're scaling with a soul. And now, Jamie will review both Pinnacle and Synovus' standalone fourth quarter 2025 financial results. Jamie? Thank you, Kevin.
Jamie Gregory: Even in the midst of a merger integration, both Pinnacle and Synovus continued to demonstrate strong financial performance over the past two quarters. Pinnacle reported fourth quarter adjusted EPS of $2.24 which was stable quarter over quarter and up 18% from the prior year. Net interest income increased 3% from the third quarter and 12% year over year. Balance sheet growth remained well above peers. Period end loans grew at a strong 3% from the prior quarter and 10% year over year, driven by recruiting. Particularly in our expansion geographic markets. Core deposit growth was also quite healthy at 3% quarter over quarter, and 10% year over year. The net interest margin increased one basis point to 3.27%. Meanwhile, adjusted noninterest revenue declined 6% from the third quarter but jumped 25% year over year. Year over year growth was largely as a result of higher service charges, wealth management revenue and income from BHG. As expected, BHG contributed $31,000,000 in fee revenue to Pinnacle. Adjusted noninterest expense was stable quarter over quarter, and up 13% year over year. Pinnacle's fourth quarter credit metrics remained healthy, and capital levels continue to build. Net charge offs were contained $27,000,000 or 28 basis points. 63% of which was from a single non-owner occupied CRE loan. The CET1 ratio ended the quarter at 10.88%. Meanwhile, Synovus reported strong fourth quarter adjusted diluted EPS of $1.45 which was stable quarter over quarter and increased 16% year over year. Results were highlighted by healthy loan core deposit, and noninterest revenue growth. Net interest income increased 2% quarter over quarter and 7% year over year. Period end loan growth was a healthy $872,000,000 or 2% from the prior quarter and 5% from the previous year. Driven by broad-based C and I lending. Core deposits grew a solid 895,000,000 or up 2% quarter over quarter. The net interest margin continued to expand, up four basis points sequentially to 3.45%. NIM was supported by various factors, including continued fixed rate asset repricing the funding cost benefits of the core deposit growth. Synovus also continued to generate healthy, consistent growth in adjusted non-interest revenue. Which grew 6% from the prior quarter and 16% year over year $144,000,000 The drivers were broad-based, and I would highlight $16,000,000 in capital markets fees, up 30% year over year. This performance highlights the team's focus on delivering for our clients while also focusing on the merger integration. Adjusted noninterest expense increased 2% from the third quarter and was up 5% year over year. The linked quarter increase included higher incentive payments and charitable donations. Credit metrics remained healthy. Net charge offs were $24,000,000 or 22 basis points in the fourth quarter. Our common equity Tier one ratio ended the year at an all-time high of 11.28% as we prepared for the merger closing. Also, we retired $200,000,000 of subordinated tier two notes in October before issuing $500,000,000 in December. Both Pinnacle and Synovus continue to be successful in hiring new team members in the fourth quarter, with 41 new revenue producers. This brings the total to $2.17 for both firms together and twenty twenty five. We continue our work to finalize the valuation marks on the Synovus book. Which we expect to be completed later in the first quarter. Our current estimated mark on the balance sheet is generally in line with the original merger expectations. We expect this valuation impact as well as other considerations to result in a CET1 ratio of approximately 10% at the end of the first quarter. Estimate includes the realization of $225,000,000 to $250,000,000 of first quarter merger related expense and excludes legacy Pinnacle equity acceleration costs, which are capital neutral. Since the transaction closed, we have undertaken a meaningful repositioning within the legacy Sonova securities portfolio. As part of that effort, we sold approximately $4,400,000,000 and purchased roughly $4,400,000,000 of new securities with an average yield of 4.7% and estimated duration of four point two five years. These transactions helped us support our level one HQLA position, reduce risk weighted assets, and also serve to eliminate approximately 98% of the PAA associated with the securities portfolio. I will now hand it back to Kevin to review our 2026 financial outlook.
Kevin Blair: Thank you, Jamie. Pinnacle's proven revenue producer hiring model allows our balance sheet growth to be more resilient and sustainable regardless of economic growth, interest rate levels, and the like. Loan and core deposit growth in 2026 should be supported by revenue producers who have not yet completed the consolidation of their portfolio to us. We also expect to continue hiring revenue producers at an accelerated pace this year, especially as the former Synovus team embraces the rigors of the Pinnacle hiring process. Our goal is to 250 total revenue producers in 2026. As we look to our first year as a combined company, we expect our period end loans to grow to $91,000,000,000 to 93,000,000,000 or up 9% to 11% versus our combined loans at year end 2025. We expect 35% of this growth to come financial advisers who have been hired in the past three years as they build their book Another 35% to come from specialty verticals and the remainder to come from the legacy market growth. Our loan growth assumptions do not assume any change in line utilization rates or recent pay down or pay off levels. On the funding front, we expect total deposits to grow to $106,500,000,000 to $108,500,000,000 or up eight to 10% this year, driven by the previously mentioned recruiting, core commercial client growth, and momentum from our specialty deposit verticals that support our markets. Our adjusted revenue outlook is $5,000,000,000 to 05/2026, The net interest margin is estimated in the three forty five to three fifty five range, which assumes the immediate benefit of purchase accounting balance sheet marks and more near to medium term fixed rate asset repricing of the legacy Pinnacle loan portfolio. Those benefits are somewhat offset by an increase in balance sheet liquidity over the next several quarters and marginal headwinds from two twenty five basis point interest rate cuts as implied by the recent market expectations. We expect our initial balance sheet profile to be modestly asset sensitive, split between short rate and long rate exposures. We anticipate adjusted noninterest revenue of approximately $1,100,000,000 this year. Growth should be primarily attributable to continued execution in areas such as treasury management, capital markets, and wealth management, as well as a 125 to $135,000,000 in BHG investment income. Adjusted noninterest expense is expected to be 2,700,000,000.0 to $2,800,000,000 in 2026. We expect to realize 40% or $100,000,000 of our annualized merger related expense savings in 2026. Underlying expense growth should be driven by revenue producer hiring from the 2025 and continued hiring in 2026. Also, real estate expansion to support market growth as well as normal inflationary expenses. Excluding legacy Pinnacle equity acceleration costs, an estimated 450 to $500,000,000 of the $720,000,000 in nonrecurring merger related and LFI expense should be incurred this year versus $64,000,000 recognized in 2025. We continue to operate in a constructive credit environment We estimate that net charge offs should be in the range of 20 to 25 basis points for the year which is consistent with 2025 performance for the combined company. Moving to capital, we will target a common equity tier one ratio of 10.25 to 10.75%. Beginning in the first quarter, our quarterly common equity dividend will be $0.50 per share. Our priority on capital deployment remains client loan growth, The board recently authorized a $400,000,000 common share repurchase program that gives us flexibility to manage capital in multiple growth scenarios. Finally, we anticipate the tax rate should be approximately 20% to 21% in 2026. It is a privilege to lead this team at such a defining moment, with our above peer revenue trajectory and the growing benefits of merger related efficiencies, we expect strong earnings performance in 2026. I am more excited than ever about the road ahead. Together, we lay the foundation to build the best financial services firm in the country. We fully recognize that 2026 will bring its own challenges, especially as we prepare for conversion in the 2027. But we are more than ready for the task. Our momentum, unity, and shared ambition give me tremendous confidence in what we will achieve. And now I will turn it over to Terry for some closing remarks before we open the call for questions. Terry? Thanks, guys.
Terry Turner: Me start here. As you listen to Kevin and Jamie, I hope you can see why I'm so fired up about what we've created with this merger. Next month will be twenty six years since we put our original founder group together to form a bank specifically to take advantage of the rapidly declining service levels at the large banks that dominated the Southeast at that time. All we had were some deeply held convictions about how you produce long term sustainable shareholder value. First of all, we intended to differentiate ourselves from the competitors based on distinctive service and effective advice. Of course, distinctive service and effective advice sounded like blah blah blah back then, and still does to many even today. I know as an investors, you've never had anybody say they intended to give poor service and bad advice, but truthfully, many do. According to Greenwich, with an 84% net promoter score, we've created the single best client engagement, not just in the Southeast, but in the country. And their data also suggest we've amassed the best relationship managers, the best treasury management capabilities, and the best credit processes in the Southeast. And that talent attraction model, which is proven to be the best in the Southeast, based both on the quantity of talent we've been able to attract and the quality of talent we've been able to attract goes forward in the combined firm under Kevin's leadership led by long term friend and partner Rob McCabe as the chief banking officer. Those proven credit processes that have provided best in class service from our client's perspective and such strong asset quality over decades, continue forward in the combined firm under Kevin's leadership led by Carissa Summerlin as chief credit officer going forward who was the chief credit officer for Legacy Pinnacle. Secondly, we intended not only to attract the best talent, but to excite and engage them in such a way so as to get their best effort. Their discretionary effort, which will always be better than the stereotypical scorecard management approach used by all of our peers. As a matter of employee engagement, Fortune Magazine ranks us as the third best financial services firm to work for in the country. Behind only American Express and Synchrony. Things like granting equity to every single employee so they feel like owners, and including every salary based employee in the annual cash incentive plan are critical to the reliability of our outsized growth that we produced for twenty five years. And, of course, all of that goes forward the combined firm under Kevin's leadership. Thirdly, one of our most important principles was alignment. Aligning shareholders with management and employees. I believe there's overwhelming evidence that shareholder returns are primarily correlated to only three metrics, revenue per share growth, earnings per share growth, and tangible book value accretion. And so at Legacy Pinnacle, all annual management and employee incentives were linked to revenue per share growth and earnings per share growth. Think about that. All 3,500 employees incented to grow revenue and earnings. Over our first twenty five years, we were the fastest revenue grower among banks greater than 10,000,000,000 in assets and the second compounder of earnings per share in the country. And of course, that same incentive methodology now aligns our almost 9,000 employees under Kevin's leadership. All around revenue and earnings growth going forward. And finally, we've always relied on the principle that expectations shape behavior. It wasn't just that we incented all our employees based on revenue and EPS growth rates. We always set our targets for revenue and EPS growth rates to be at least top quartile performance. Think about that. To have targeted top quartile revenue and EPS growth for twenty five years in a row, led to this extraordinary compounding of the metrics that matter most in terms of shareholder return, which again explains the fact that over our twenty five year history, we had the second highest total shareholder return of all the publicly traded banks in the country. And that same target setting methodology is continuing forward in the combined firm under Kevin's leadership. Frankly, we both have been asked if Kevin can run the Pinnacle model. I wanna make sure you understand that I know he can. He is my handpicked successor, and it's my expectation that executing this now proven model with his proven leadership capabilities will propel this firm to levels we would never have achieved on our own. Operator, we'll stop there and take questions.
Operator: Certainly. We will now begin the question and answer session. To ask a question, you may press star then 1 on your touch tone phone. If you're using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then 2. In the interest of time, please limit yourself to one question and one follow-up. Your first question is coming from Ebrahim Poonawala from Bank of America. Your line is live.
Ebrahim Poonawala: Hey. Good morning. Good morning. Guess maybe just starting at the top, Kevin and Terry, around with the module conversion systems conversion next year, Just talk to us two things. One, what can the combined bank not do today that it will be able to do a year from now post conversion? And secondly, as we think about the new banker hiring, new sort of client onboarding, how are you handling that in terms of are they coming on the new systems, old systems? Just color around all of that would be helpful. Thank you.
Kevin Blair: Yeah. Ibrahim, this is Kevin. Obviously, as we move to conversion in '27, both companies will be operating on their existing legacy platforms. And so that doesn't encumber our ability to originate new business. It doesn't encumber our ability to be able to expand the share of wallet. We have been successful in both companies being able to use our existing system So there's nothing that's missing. What will change is that we'll move to an end state platform that takes the best best of both organizations. And so there will be capabilities that arise on both sides. When we move to the new platform, there'll be new capabilities, new functionality, new products that we'll be able to offer. So there's revenue synergies that come with that. In the interim, when we bring on, we we know which systems we are moving to when we have a client that's a more complex client, and we onboard them in '26, we're gonna onboard that client onto the end state platform and start to service that, relationship there. Versus having to do another conversion in '27. So the real challenge is you're just having to manage a workforce, a Salesforce that has two sets of products and two systems but it's not stopping our ability to grow the business. As it relates to hiring, again, same situation. As we bring on new team members, if it's in the legacy Pinnacle market, they would be onboarded onto the Pinnacle platform. If it's on a legacy Synovus market, they would, start to sell these Synovus products and use those systems. But again, we have lots of workarounds that we can leverage that it's not gonna create a bad client experience when we go to that, migration. The other thing I would just mention, Terry mentioned it in prepared remarks, the number one thing we're focused on is the Net Promoter Scores. And ensuring that our clients continue to receive that distinctive service and effective advice. And that all comes down to the people. So we can talk about the products and the technology, but the people are staying the same. And that's what builds the strong relationships.
Ebrahim Poonawala: Got it. And I guess maybe just another follow-up on I think you mentioned the board approved a $400,000,000 buyback authorization. Give us a sense of when you think you would actually initiate buybacks? Is it more to do with if there's a pullback in the stock, you step in? Or should we expect some level of buybacks to resume starting as early as this quarter?
Jamie Gregory: Ibrahim, it's Jamie. Great question. You know, first, first thing I would say is you know, we would love to be buying back stock at these prices. We think we think it's pretty attractive, but you know, as we look at capital ratios and look at, you know, our expectation is that we close the deal. And at 03:31, our CET one ratio is 10%. If you include AOCI, it's 9.8%. Looking at that ratio, we are fine with regards to internal stress tests. We're fine with how we expect CCAR or SCB or any of that to play out. We feel like we do have excess capital. From a headline number, we would screen low relative to category four peers. If you include AOCI at 9.8, we would screen higher than median compared to category four peers. But I kinda give that background as just the fundamental how we think about it. We do not want to screen, the lowest of of a peer group. We don't wanna be at the low end. So it's likely that we will accrete capital, for a time period. And just allow earnings to drop, to to our capital ratios as we go through early twenty twenty six. And then reassess. That's why we put that range of ten twenty five to ten seventy five out there. The one thing I will note is in the first quarter, you can see the capital waterfall The earnings impact of merger expenses, etcetera, will lead to you know, not a lot of capital accretion this quarter. So you should not expect to see share repurchases this quarter It's unlikely you would see them you know, in the second quarter. But then we will reassess as we get into later into the year.
Ebrahim Poonawala: Helpful. Thank you both.
Operator: Thank you. Your next question is coming from John Pancari from Evercore. Your line is live.
John Pancari: Morning. I'm done. On the loan growth front, the loan growth projection implies a a nine or eleven percent range on a pro form a basis. Can you just kind of walk us through your degree of confidence in achieving this given the know, we're hearing the backdrop is getting a bit more competitive. There's a little bit of uncertainty around CapEx related demand. So I guess from a demand perspective as well as from a, underlying organic and the hiring perspective, can you help us just kinda walk through your confidence in achieving that target?
Kevin Blair: You know, John, I it starts with, you know, not just talking qualitatively, but when you look at the fourth quarter for the pro form a company, we generated 10% loan growth already. And so to your point, our growth as we shared in the slide deck is gonna come from existing team members that are already in the market. The recent hires that we made in the last three years is well as our specialty growth businesses. And for me, you asked the question about just general client sentiment. We we do a quarterly survey in Legacy Synovus. The clients continue to remain relatively constructive. The backdrop, continues to have some uncertainty. It's no it's not lost on anyone that tariffs still play a risk factor for our clients, but we've seen the economic growth pick up. And when we queried those clients, they expect their business activity to pick up over the next twelve months. So part of that is being in the Southeast. We know we're in a great footprint. So I think our client sentiment is positive. There's still headwinds, but there's been this appetite for capital that I think was delayed resulting from the uncertainty that happened in '25 that we expect to get. But look, said this in the prepared remarks. Unlike other banks, we're not waiting for the economy to grow to be able to generate growth. past year, Jamie mentioned 217 new revenue producers. And although that number needs to go to two fifty on the Sunnova side, I was pleased that our our growth, picked up about 20% year over year. And as Terry said, the real opportunity is for Synovus to start hiring at the same pace that Legacy Pinnacle was hiring. Hiring. And that will generate some growth this year, but the real growth has come from the people that we've hired over the last three years. And and the embedded growth that will come from those individuals continue to build out their book. So I think it's a constructive environment. It will come from being able to hire folks. You've seen this I think we have all the tools, and resources to be able to generate the growth. As we've talked about in the past, the biggest headwinds have been unexpected payoff activities. And we've kind of built that into our forecast this year. Fourth quarter was no exception to that. We saw elevated pay down activities. But the first time, we actually saw a little bit of line utilization, help to offset that. So our production goals are not predicated based on economic growth. It's based on going from a bottoms up forecasting perspective, looking at what each individual can can bring to the table. And that gives us great confidence in being able to deliver that 9% to 11%.
John Pancari: Got it. All right. Thanks, Kevin. That's helpful. And then separately on expenses, I know in December, I think, a conference disclosure, you you pushed back your timing of your cost save recognition from 50% in '26 to 40% Can you just remind us what that related to? Is there a risk of future delay in the recognition of the cost saves as you work through the integration.
Jamie Gregory: Hey, John. It's Jamie. As we work through this merger, our prioritization first was let's get to close. And we were very successful having a Jan one close on on the deal. And when you, you know, because that moved as quickly as it did, it it basically pushed back some of the systems because they weren't as fast as the close. And so that delay in there pushed back a little bit of the call synergies. I would also say that we've been leaning in on some of the benefits associated with with the deal and and how we've, decided to take best in class benefits on both sides. But those two things really drove the 50% down to 40% on the year one cost saves. But you will note that we didn't change year two. We didn't change the total phase. So it's really a timing, difference. We feel really good about all of the merger math from there. I feel good about our ability to achieve those synergies. But it's really in year one. We just dropped it from the 50 to the 40.
John Pancari: Got it. Alright. Thanks, Jamie. Appreciate it.
Operator: Thank you. Your next question is coming from Jared Shaw from Barclays Capital. Your line is live.
Jared Shaw: Thanks. Good morning, guys. Looking at the the fee income side, you know, what's what's embedded in the fee income guidance for the capital markets business And maybe just some color on how long you think it takes to integrate some of those so those fee income lines?
Jamie Gregory: Yeah. Jared, it's it's a great question. I mean, I love that you're focusing in on capital markets because we view that as a big area of opportunity for us. Just in general, both Pinnacle and Synovus have had great success in growing fee revenue. If you look at 2025 and you combine the companies, you have over 10% growth in account analysis fees. You have over 10% growth in overall core banking fees. You have over 10% growth in wealth management fees. But in capital markets that you mentioned, that's been a great success. And and, you know, we've had over 15% growth in swaps, swap fees. But the capital markets platforms are a great area to show what are the opportunities for revenue synergies because we have, you know, the effectiveness of the, swap delivery We also have lead arranger fees and syndications that we can actually grow on both sides But then on the Pinnacle side, they're bringing to the table the ability, for m and a advisory, and that's something that's new to the Sunnova side. So we see strong growth in capital market fees in twenty twenty twenty six, consistent with kinda what you've seen in the past. Double digit growth.
Jared Shaw: Okay. Thanks. I guess maybe shifting to the to the loan growth side or back to the loan growth side, you called out the ability to hold higher balances as a result of the bigger balance sheet. How quickly do those higher hold limits flow through? And if we look sort of the slide 25 drivers of loan growth, do you think of that as more part of the contribution from the existing legacy markets?
Kevin Blair: That's correct. Yeah. So, Jared, you know, when you it it can happen immediately. I mean, we have new hold limits today. But as you can imagine, not every client needs additional capital above where they are today. But what we've done with our bankers is cross tabulate the current hold limits versus where our appetite is, and it shows where we have the ability to give more capacity to our clients, and we're gonna communicate that so that we're, we'll we'll be able to to generate incremental loan growth as a result of that. Starting this quarter and moving into the future. And I consider that we we included that in the bucket for revenue synergies along with just hiring because I think that's just blocking and tackling. That's allowing us to fully use the capacity of our balance sheet to meet our clients' needs. We're still gonna be, as Jamie said, in the lean arranger business. We're gonna be syndicating deals but there will be some incremental growth there that will allow us to grow loans. But you know, it's not big enough to call out an individual number. I think between hold limits and and utilization, which we would expect, although we didn't build it into our forecast given lower interest rates, we would think both of those areas would just serve as tailwinds to growth for '26 and beyond.
Jared Shaw: Thanks.
Operator: Thank you. Your next question is coming from Ben Gurlinger from Citi. Your line is live.
Ben Gurlinger: Hi. Good morning. Good morning, Ben. Pretty clear that you guys are are are now clearly focused on the the Outlook, and you have a pretty high degree of confidence in the continued legacy Pinnacle hiring trends When you look at kind of what you see today in the market, disrupt disruption, it's not necessarily the legacy footprint of either one of you two, or is is there opportunity to kind of expand hires or even LPOs or is it or is is it something that's still in footprint only focused? I'm just trying to figure out where the the additional or incremental revenue producer might come from. Geographically? Well, look. You we've said we try not to highlight specific markets. It kinda let your competition know where you're coming to play. But I think you should think about any metro market in any of our nine state footprint provides us with an opportunity. And it's I would tell you that disruption is our friend. But the biggest opportunity we have is what Terry said earlier. Is continuing to make this a great place to work. And when, bankers evaluate opportunities to hone their craft, they wanna work for an institution that removes bureaucracy. They wanna work for an institution that allows them to do what they do best, which is serve their clients. And so the best tool we have is continuing to create a team member base that is actively engaged and becomes our biggest recruiters. Because when they join our company, everyone hears from, their peers. And and when they say what a great company it is, it just gives us the opportunity to continue to hire. So we'll hire across the nine state footprint. The biggest opportunity as you've seen on the slides, Pinnacle has been adding at an outsized pace and doing a wonderful job. Rob McCabe and his team have worked with our Synovus geographic leaders to install that hiring model. Which is not an overnight model. As Terry said in the past, we're not hiring headhunters. We're not taking, applications on LinkedIn. Identifying who the best bankers are in each market and continuing to call on those bankers. And, in really emboldening ourselves and showing why this is the best platform for them. So I don't think there's a big risk in generating 250 new hires this year. I don't think there's a big risk in generating 275 the year after that. I think there's adequate opportunity across the market. And that doesn't include where we could continue to expand some of our specialty offerings. Where you could bring on new teams and continue to add more errors to our quiver to support that geographic banking, model. So I'm very confident. And and what I've been impressed with told Terry this, the rigors of their model and the success factor is not by happen chance. It is because they are very good at what they do in identifying those prospects and continuing to follow-up and ensuring that they bring them onto the platform.
Ben Gurlinger: Gotcha. That's that's helpful. So it's it's I mean, pretty confidence in in in the net loan growth. Outlook. Via those hires over the next two or three or four years, So I was I was kinda curious. In in terms of just kind of growth, generally, lead with a credit, and you get the whole relationship quickly thereafter. Jamie, if we're thinking about like, if loan growth starts to get overly accelerated, is there an area or avenue that you might gravitate towards rate dependent on kind of backfilling the funding side of that? Before the deposits arrive.
Jamie Gregory: Well, you know, if if loan growth happens before deposit growth, which actually is somewhat consistent with the forecast because deposit growth is more back end loaded yes. We would use some higher cost sources to fund that growth. But all of that is embedded in our Everything that we're saying about our margin outlook, etcetera, include seasonality of deposit growth relative to loan growth and our expectations of these bankers that we've hired over years bringing their books over. So you know, it all holds together when you see the loan forecast deposit forecast, and then the underlying quarterly impacts. But, yes, you know, if if loans come in before deposits, yes, we will use, you know, wholesale funding to bridge the gap.
Terry Turner: Know, I might just jump in and add, for clarity. I think on the hiring hiring, is what gives us confidence in the long term sustainability of the growth And if you look at the pace at which we're accelerating the growth in hiring, it's a really modest increase in 2026 and not a I wouldn't say a huge increase in 2027. So those are pretty reasonable targets. And what that has to do with is the long term sustainability of the balance sheet growth and, therefore, the earnings of the company. What gives us confidence in the short term ability to grow loans is the people that we have onboarded over the last three or four years. Those people are in the process of consolidating their books of business from where they used to work to us. And we're not looking for anything special. We're simply looking for those people to produce at average rates they have produced for twenty five years. And so, again, the confidence on the loan growth comes from the people that we have already on board.
Ben Gurlinger: Gotcha. Thank you.
Operator: Thank you. Your next question is coming from Bernard Von Jaszczyki from Deutsche Bank. Your line is live.
Bernard Von Jaszczyki: Hey, guys. Good morning. Just just on the NIM, in your '26 outlook, you assume a range of three forty five to three fifty five. Inclusive of the purchase accounting accretion. I know back in mid December, you laid out in size the contributions from from the accretion, from the fixed rate asset repricing. And you know, offset by some of the the the debt and the adding securities, the liquidity measures you're doing. Given the changes you laid out, could you just provide updates there?
Jamie Gregory: Yeah. As you look at the margin, the way I would think about it is clearly, the fourth quarter, had Pinnacle had a three twenty seven tax equivalent. Margin. For the Sunnova side, when you mark the book, when you mark all of our assets, you should expect to get to a margin in the three seventy five three eighty area. When you combine those two, you get to, you know, three fifty, low three fifties. And so that's generally how we think about these coming together. The yields on the Synovus book are a little bit lower than they we originally modeled, with the merger because interest rates have declined a little bit when you look at the belly of the curve. And so that's generally the math. That's why the CET one ratio at close will be a little bit higher than we we originally modeled It's why the PAA will be a little bit lower than we originally modeled.
Bernard Von Jaszczyki: And then, just on the, the revenue synergies, on Slide 28, the 100,000,000 to 130,000,000 I know it's supposed to be realized over the next two to three years. Does that start you know, in 2027 post the completion of the integration process? Any color you can share?
Kevin Blair: It it starts today. I mean, we're we're already working it. So our guidance that we provided for '26 would incorporate some of those revenue synergies as they materialize. Things like we talked about earlier, like hold limits being able to hire new folks, There are certain capabilities on the capital market side that we don't have to be on the same platform. Platforms. Syndication fees, FX. Those, those are being cross pollinated across our organization. And then when you add on some of these specialty verticals I've mentioned in the past, like equipment finance, The the Pinnacle legacy team is already calling in the legacy Synovus footprint. So instead of trying to give you a line item, reconciliation of all those, we'll start to incorporate those into our annual guidance. And we sit here today, I think we're as excited about the 100 to $130,000,000, and and we think we can exceed that target over the next three years. But, yes, the '26 guidance would incorporate the benefits that we see in these early stages.
Bernard Von Jaszczyki: Okay. Great. Thanks for taking my questions.
Operator: Thank you. Your next question is coming from Michael Rose from Raymond James. Your line is live.
Michael Rose: Hey, good morning, guys. Thanks for taking my questions. Maybe just going back to the to the comment in the slide deck just around higher hold limits. I assume that just a step function of a larger balance sheet if you can kind of expand upon that, I mean, do you plan to kind of move upstream? Or is this just hey, we're going to do the same types of loans that we've always done on both sides? And then maybe just syndicate out, you know, less. Just trying to get some better color around that. And then secondarily, if you can just comment on outlook for some of the specialty businesses. I know that's been a big focus, at least Legacy Synovus over the past couple of years. What does that look like as we kind of move through this integration? Thanks. Yeah, Michael. I I think it's the latter of your question. I I don't think that it allowing us to pursue new opportunities up market. We've both companies have been moving up market with middle market banking some of our corporate banking initiatives that we've had in some of the specialty areas. What it really does is just increase that ability to have slightly larger hold limits on those clients. And so as I said earlier, we're not talking about major step functions. It's not doubling the size of the hold limit, but it gives us a little more capacity. And so what you should see from that is slightly, higher, loan size that we would keep on balance sheet. But again, we built a strong syndicated platform to be able to manage our risk overall. And so we'll continue to out some of the larger loans, but it just gives us a little extra capacity. As it relates to the specialty units, you know, as I've said in the past, both sides bring some unique businesses to the table. I get really excited about the equipment finance area, the auto dealer, business that Pinnacle has been building. On the Sunnova side, we have things like asset based lending, structured lending. We have a family office on the wealth management side. Those organizations are working across the broader organization to make sure that their capabilities are well known. And when we have an opportunity to introduce client, we're gonna make those introductions. And so we haven't gone through and shared what the individual growth of each of those businesses will be. But I can tell you, a large portion, as you saw in the pie chart, of our loan growth will come from those specialty businesses. And it's just from the introduction to the other side's footprint and a client base that we haven't called on in the So again, excited about it. We've been having sales meetings on Mondays. Where those individuals have been working to share their products and capabilities, and there's already been joint calling efforts. So we're well underway there, and again, it's gonna generate a large percentage of our growth as we look both on the loan side as well as the deposit side, we have some deposit verticals that we've been focused on that we'll be able to introduce to the to, the other legacy, bankers. Very helpful. And then maybe just as a a follow-up. I know there's some debate about if the asset thresholds get lifted here at some point. I know you guys have some onetime costs built in for that. But you know, those rules do get changed, I assume you'll still use some of that, but I assume some of it that you probably wouldn't or you could slow that pace What would you do with those extra dollars? Would it be kind of further acceleration on the hiring front? Is there other projects or systems that you'd you'd like? I know we're not talking a huge number, but certainly would be helpful for any color.
Jamie Gregory: Yes, Michael. Those costs, as we look at it, if a 100,000,000,000 was raised and it was not in our near term horizon with strong organic growth, we would still do the data work we're doing now, which is a large portion of that expense. And so you know, we will still incur a good bit of that expense that we've modeled out even if if that's increased. We would surely save on some headcount in our back office functions. But but we would still continue the work on the on the data side But when you think about what will we do with those expense dollars I I guess I would just reframe that and say that we will spend for good hires with or without those savings from, you know, LFI changing. And so we're gonna lean in to hiring the right talent because we see the, the value to long term sustainable growth, long term sustainable growth in assets and tangible book value. And that's our strategy. So I just would disassociate the savings from LFI or really anything else with the hiring because you know, we are leaning into that really in all scenarios.
Michael Rose: Okay. Great. Thanks for taking my questions.
Kevin Blair: You, Michael.
Operator: Thank you. Your next question is coming from Catherine Mealor from KBW. Your line is live.
Catherine Mealor: Thanks. Good morning. Jamie, talked in your prepared remarks about some restructuring that you've already done to the bond portfolio. Can you talk to us a little bit about what you're expecting in terms of the timing for further build in liquidity as we move through '26? Just trying to frame you give us loan growth expectations, but trying to think about what the size of the bond book could look like over the course of the year and how average earning asset growth will build through the year. Thanks.
Jamie Gregory: Yep. It's a great question, Catherine. And first, I'll give a little bit of color on the trade. So I mentioned it on the call, but we did a $4,400,000,000 swap in the securities portfolio The way I would think about the securities portfolio from legacy Synovus is our book yield was about three fifty coming, you know, at the end of the year. When you marked it to market you got to about a four forty yield on the securities portfolio. And then we did the repositioning. And the repositioning did multiple things. First, we shortened duration. Second, an improved, liquidity, high you know, HQLA improved. Third, it reduced risk weighted assets Fourth, it eliminated 98% of the PAA associated with securities portfolio. So it achieved a lot of objectives to us. I mean, we're trying to reduce AOCI volatility. We're trying to reduce, PAA. All those things played out with this repositioning. So we're very pleased with how that happened. Those trades, because we did shorten duration, reduced the legacy Synovus security yield to about four thirty five. So when you bring those together, you get a securities portfolio that has a nominal yield of around 4%, a tax equivalent yield of around four fifteen. And so that's kind of where we are in the securities portfolio. As we proceed, through 2026, we do have debt issuances in the forecast. You know, we're contemplating a couple debt ish ones that could be a billion dollars this calendar year. Likely two different issuances. One in the first half, one in the second half of the year. And that's embedded in there. Now consistent with the prior conversations, the impact to average earning assets just depends on the growth of loans and deposits and how all that plays out. But that's at a high level how we're thinking about 2026.
Catherine Mealor: Right. Because you still put that $1,000,000,000 of debt in into the '26 number. Feels like. That's right.
Jamie Gregory: That's right. Okay. Great. Okay.
Catherine Mealor: That help that that's really helpful. And then maybe within that on on deposits, they both on a legacy basis, Pinnacle and Synovus, had a had a nice reduction in deposit cost. Those came in on to better than I was expecting, so that was was great to see. And so maybe can you help us think about as you see this accelerated growth into next year, and I know rates are moving, but let's just kind of on a static basis, where are kind of new deposit costs coming in today, and where should we expect maybe on a pro form a basis deposit cost to kinda settle in outside of any kind of move big move in rates on a pro form a basis.
Kevin Blair: So we look at just like the going on rates this quarter, Catherine, on the Sunnova side, it around $3.14, a little higher on the on the, Pinnacle side. But yeah, we expect those to continue to come down. Obviously, we built into rate cuts Just quarter on quarter, our rate paid was off about 30 basis points. So it's still a rational pricing market where, you know, where where you're seeing continued competitive tension is when you're going after high rate CDs. And I think both sides have really rationalized our demand for those. But as we go forward, as Jamie said earlier, part of our growth story is relying on these bankers to bring over their relationships when when when they get the loan. So we're not having to go out and rely on promotional deposits to have to generate the $8,000,000,000 in deposit growth this year. So think you would continue to see those going on rates come down as rates come down. And we'll be very thoughtful. As we've said in the past, can grow deposits as much as we would like. It's just at what rate. And and we're trying to grow them at a marginal rate I always like to give you this from a Sunnova standpoint. When you look at loan rates, for the quarter, we are at $6.23. Deposits, as I said, at $3.14. So you're still getting almost a three ten basis point spread on your new production which, again, we monitor that just to make sure that we're balanced in how we think about the going on yields for loans and what we're having to pay for deposits.
Catherine Mealor: Great. Very helpful. Thank you.
Jamie Gregory: Thank you.
Operator: Your next question is coming from Casey Haire from Autonomous. Your line is live.
Casey Haire: Great. Thanks. Good morning, everyone. I wanted to circle back on on the recruiting strategy. So the I think you guys mentioned 41 hires in the fourth quarter. Just wondering what the the success rate was on that. I think it was 90% historically. And then just looking forward, you know, what is the pipe looking like as you guys target two fifty this year? You know, how many offers do you have outstanding? Thanks.
Terry Turner: Yeah. I would say on the, success rates or the kill rates for hiring, it remained roughly the same as it has, as it was all year. You know, the average number hired resembled the average for the year. The kill rate was similar for the year. I wouldn't detect any particular difference in our success at closing the recruitment cycle and turning them into hires. I think as we go forward, you heard, what Kevin said, This methodology is just it's just that. It's a routine methodology that we have run for an extended period of time, and it feels like it will produce I would say at least what we've committed, in in our guidance there. Again, if you look at the relative increase for 2026 over 2025, it's pretty modest increase with at least for me, I don't feel like we've hung ourselves out on on some big, big lift here. But, anyway, that that's my thought.
Kevin Blair: I don't care if you wanna spot on. And and, look, again, you you don't have to go to the legacy Pinnacle leaders and ask them about their pipelines. They they work them three times a week. What's changing is, you know, our legacy Synovus team is starting to exercise that same process. And they're building their pipeline. So it won't that's why we said over time, that Synovus and twenty six would still lag the hiring that happens at Pinnacle. But by '27, we expect both sides to be adding a similar rate just based on that that building of the pipelines. And I've had the opportunity to be on a lot of, recruiting calls in the the last thirty days, and I can tell you that that they're not slowing down. People wanna be part of this company And ultimately, they have validation from the people that have already joined that this is a great place to work. I I joke with Terry all the time when I talk with the folks at Pinnacle. That have just joined. I said, how's it going? They said, I wish I had joined ten years ago. That's the number one answer I get from those folks.
Casey Haire: Okay. Great. And then just so you guys restructured the the Synovus bond book. Just anything else that that you guys are kinda entertaining as you look at the pro form a balance sheet and maybe some updated thoughts on the BHG liquidity event given what's a pretty favorable backdrop for them?
Jamie Gregory: You know, we we have a lot different things that we are working on the background on the balance sheet, but it's really too early to to think about you know, whether or not they're they're viable or you know, attractive to us. None of which are are that material to to their earnings outlook. And so we will continue to to look at options to either improve liquidity of the securities portfolio or, you know, reduce risk weighted assets or any anything similar to what we've what we've done in the past. With regards to BHG, you know, those that the team down there just continues to deliver. You can see that. With their performance in 2025. You can see it with the outlook we have in 2026. If you look at the fourth quarter of fee revenue, from BHG, we we had 30,000,000 in in the fourth quarter. Including a true up of $5,000,000 from the third quarter BHG earnings. And so to use the baseline $25,000,000 in the fourth quarter, that's really strong growth as you play it out through 2026. I mean we're talking 25% to 35% growth for for the company. So they continue to perform. And I I go through all that because it just shows that they are focused on their core business. They're focused on growing it, adding value. I think, you know, you know, what whatever they do with liquidity event or how they approach that, all I would just say is that they are positioning themselves well for you know, choosing their own destiny with regards to that.
Casey Haire: Great. Thank you.
Operator: Thank you. Your next question is coming from Anthony Elian from JPMorgan. Your line is live.
Anthony Elian: Hi, everyone. Jamie, on slide 20 through 23, could you provide us with the updated assumptions specifically on the loan marks for 2026? You have a comment in the footnote that says you shifted the mark to longer duration loans, but I'm curious if you could give us some sensitivities to NII if you shift the loan mark back to a shorter duration.
Jamie Gregory: Yeah. You know, as we look at our current expectation for the loan marks, we believe that approximately two thirds of the PAA is going to come from residential mortgages, which are clearly long long duration. And so that's the shift that we're referring to there. I would not expect these marks to move materially between products between now and finalization, but that's something that the team continues to work on. And that's that's what basically reduces that PAA benefit, that plus the rate decline in 2026.
Anthony Elian: Okay. And then my follow-up I'm curious, could you give us updated thoughts on deposit beta going forward for combined company, assuming the forward curve plays out this year? Thank you.
Jamie Gregory: Yes. If you look at the blended deposit beta, in this easing cycle, to now. For both companies combined. You get to about a 48% deposit beta. And when we look forward at the next two cuts, which is our current expectation, we think that a 45% to 50% deposit beta is appropriate for the rest of this year. And clearly, there's a lot of uncertainties that go into that with deposit mix and and pricing and you know, what the Fed actually does. But we think that that's a reasonable assumption, and that's what we're working towards in '20 Thank you.
Operator: Thank you. Your next question is coming from John McDonald from Truist Securities. Your line is live.
John McDonald: Hi. Good morning. Thanks. Lots of good thoughts on the '26 outlook. Thank you. As we pull up a bit and think about the long term promise of the merger and the case for the stock, could you share some thoughts on the long term earnings power of the company? At announcement, you showed an illustrative EPS of 11.63 using consensus 27. As a base. So maybe just any updated thoughts on that or broadly any puts takes against that or we might think about the The most profitable regional bank, the most efficient regional bank, and the bank that has the highest level of client service that's what gets me excited. Kevin, it feels sustainable over time to me, which is an important idea. I talked about it a minute ago, but the fact that we've already hired people that produce the growth that's immediately in front of us is important. The fact that we can continue to hire people sustains the growth over an extended period of time. And when you put that on top of the footprint, which is the most advantaged footprint in The United States, and then look at the market share vulnerability chart, it just hard to keep me from being excited about what the long term earnings opportunity are for this company. John, you're you're we're passionate about that that that question.
John McDonald: Thank you. That's really helpful. Makes sense. Maybe one follow-up just to clean up some credit that have come in. Jamie, just in the world where there's no CECL double count, how does the mark kind of affect, you know, provisioning going forward? Does does taking that mark you know, pre provide for some losses and let you provide a little less and maybe just where the loan loss ratio is starting and how should we think about provision relative to charge offs going through '26? Yeah. John, you know, just think it as you would normally think about it where you know, the the allowance we have today, we we expect to kinda stay in this same area. Given our outlook of of allowance to loan ratio. The only you know, areas where I would say it it kinda prefunds charge off is if it if it's for something that we see in the near term. If you have a specific reserve on on a loan, And so I would just think of it as normal going through 2026. Okay. And then flattish charge offs in the first quarter, you you both had, some in individual kind of one offs in the fourth quarter. Are there still some cleanups that happened in the first quarter? Or maybe just comment on Yes. I mean, look, I think if you step back and look at this quarter, noted a couple of items, not because they're discrete, but we just wanted to provide some attribution for what drove the charge off levels. I think it's important to note if you look at pro form a charge offs, it would have been roughly 25% or 25 basis points for the combined company. And as you saw, our full year guidance is still 20% to 25 But, you know, we're we're working through a couple credits to your point. That we've already reserved for and and likely taking charge offs in the first quarter. So we just expect the levels to stay stable versus where they were this quarter. But we are not seeing anything that's indicative of any systemic change, any asset classes. It's really kind of a status quo for for charge offs. But the first quarter will will kind of be stable with where we're working for.
John McDonald: That's clear. Thank you.
Operator: Thank you. Your next question is coming from David Chiaverini from Jefferies. Your line is live.
David Chiaverini: Hi. Thanks for taking the question. So you mentioned that loan growth should accelerate through the year. Is it reasonable to think kind of mid to high single digit in the first half of the year? And kind of high single to low double digit in the second half of the year? Any any color there would be helpful.
Jamie Gregory: Yes. I think that's reasonable. And it's reasonable just based on, as Terry said earlier, as the portfolios continue to be moved over from new hires, it will build throughout the year and and it will accelerate. So I think mid single digit to high single digit in the first half and then accelerating to double digit in the second half.
David Chiaverini: Helpful. Thanks. And then in terms of loan pricing, can you talk about any changes in spreads that you've observed in recent months?
Jamie Gregory: You know, this quarter, we saw about a 10 basis point decline in spreads versus our internal transfer pricing. So just think about a one and ninety spread on production. That compares to about a 200 basis point spread that we had seen for the first three quarters. So some of that has to do with mix. And the size of we moved up market with our production this quarter. I think maybe that's what's lost and and hopefully I can highlight that now is our production for the combined companies was up 63% versus the same quarter last year. So back to hitting on all cylinders, the team's producing. Some of those loans were in in, kind of our upper market businesses that generally carry lower spreads. But about a 10 basis point decline I you know, we've we've said that that's been a trend that we've been monitoring. I think it's with our expectations, and our guidance for next year would include spreads in that general range.
David Chiaverini: Helpful. Thank you.
Operator: Thank you. Our next question comes from Christopher Marinac from Janney Montgomery Scott. Your line is live.
Christopher Marinac: Hey. Good morning. Just real quick on deposit incentives. Are these any different for the combined company as it would have been separate at Pinnacle and Synovus? Just curious on how deposit incentives are compared across the new company.
Kevin Blair: It's what Terry said earlier. Chris, our company is going to be everyone will be incented on the same measurements, which is revenue growth and EPS growth And it's our job as the leadership team to ensure that deposit growth is a key component of that and being able to manage our margin. So everyone's incented on the company making its top of house goals. There are no individual incentives for production any longer, and people won't be focused on filling buckets or meeting a scorecard. It's all gonna be based on top of house. And it's our job to make sure, as I said earlier, that 8 to $9,000,000,000 in deposit growth And support our path forward. For both of you, truly, a job exceptionally well done. With that operator, I'd like to conclude today's call. Thank you for joining us today. That concludes the Pinnacle Financial Partners fourth quarter 2025 earnings call. Have a good day.